Operator: Ladies and gentlemen, thank you for standing by. Welcome to Aptar's 2023 First Quarter Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Introducing today's conference call is Ms. Mary Skafidas, Senior Vice President of Investor Relations and Communications. Please go ahead.
Mary Skafidas: Thank you. Hello everyone, and thanks for being with us today. Joining me on the call are Stephan Tanda, President and CEO; and Bob Kuhn, Executive Vice President and CFO. Our press release and accompanying slide deck have been posted to our Web site. We will also post a replay of this call on our site  Today's call includes some forward-looking statements. Please refer to our SEC filings to review factors that could cause actual results to differ materially from what we are discussing today. I would now like to turn the conference call over to Stephan.
Stephan Tanda: Thank you, Mary, and good morning, everyone. We appreciate you joining us on the call today. I will begin my remarks by highlighting our results for the first quarter. Later in the call, Bob Kuhn, our CFO, will provide additional details on the quarter. I will also give an update on our progress on key initiatives. Starting on slide three, for the first quarter, I am pleased to report that Aptar achieved core sales growth of 4%, and delivered adjusted EPS of $0.95 per share due to strong demand for our Pharma and Beauty dispensing solutions. We guided our adjusted earnings per share for the first quarter to be in the range of $0.85 to $0.93 per share. Our adjusted EPS includes a $0.12 impact from startup costs in our injectables expansion program, and the rollout of the new enterprise resource planning or ERP system. Originally, we anticipated that the costs would be closer to $0.08. Our Pharma segment experienced significant demand for our proprietary dispensing devices in every region and across every end-use category, including nasal decongestion, eye care, cough and cold, saline rinses, as well as allergic rhinitis, emergency medicines and depression therapies. This growth was in line with the brisk market demand. The one area where we anticipate that there is inventory buildup is in emergency medicines. On March 29, the FDA approved Narcan for over-the-counter or OTC usage, as we previously indicated. Anticipation of this approval has benefited our Pharma segment as this new distribution channel for Narcan ramps up. Demand for the OTC channel should moderate over time. When looking at core sales growth over the long-term for our Pharma segment, we expect to remain in our 6% to 10% target range. For injectables, the impact of startup costs and the implementation of the new ERP system was $0.12. The rollout took longer than anticipated as we went from a manual process to a fully integrated system. We have ironed out most of the implementation issues, and will continue to close the gap and ramp up production in Q2. We anticipate returning to business as usual and catching up on the revenue displaced by the implementation by the end of the year. Market demand for elastomeric components used with injectable medications remain strong, including components where the delivery device is used in glucagon-like peptide 1 or GLP-1 drugs. These drugs are a rapidly growing new class of medications used to treat type 2 diabetes. Growth is driven by indications that these medications can also help combat obesity with additional drug approvals and launches expected in the coming periods. Our components have been selected for use in this space on three blockbuster drugs today. In our Beauty segment, the team delivered solid volume growth of our dispensing solutions, especially in prestige fragrance, with mass fragrance, color cosmetics, and sun care also driving positive results in the quarter. We are continuing to receive good feedback from our Beauty customers on our new product pipeline. Moving to slide four, and ESG, during the quarter, we received, again, a number of awards and also commemorated a major milestone. Last week, we celebrated our 30th anniversary as a public company as rang the closing bell at the New York Stock Exchange. Recognition for our ESG efforts continue as well. Aptar has again been named one of Barron's 100 Most Sustainable Companies for the fifth consecutive year, ranking number 55 for 2023. We were also named to the CDP Supplier Engagement Leaderboard for the third consecutive year. Aptar is among the top 8% assessed for supplier engagement on climate changed based on its 2022 CDP disclosure, and was cited for its contribution to emissions reduction throughout the value chain. Increasingly, we believe that sustainable companies, in addition to helping safeguard the environment, will also have a competitive advantage. This differentiated focus is apparent in the innovative and sustainable technologies we are developing and launching, such as our recyclable pumps in Pharma and Beauty, as well as our pump-free fragrance pump with self-actuation. Now, I would like to update you on some of our key priorities. Across Aptar, we continue to work on identifying new avenues to increase our operational efficiencies. Our primary objective is to deliver on our long-term margin targets, which we expect to achieve through a combined effort of driving top line growth, increasing productivity, and better leveraging our fixed cost base, both in operations but also in SG&A. As discussed last time, we have engaged in bargaining discussions with pan-European and national labor representatives to discuss adjustments to our Beauty segment in order to increase our competitiveness. We will update you once these discussions are concluded. A few weeks ago, we released recast financials for our Closures and Beauty segments. The goal of the segment realignment was to strengthen our commercial position for both Closures and Beauty, as well as enable bottom line improvements by streamlining operations and increasing capital efficiencies. We recognize that there is work to be done to achieve our long-term profit margins in both segments. We are in the process of reviewing our footprint, and anticipate making changes to improve asset utilization. On slide five, I want to give an update on capital allocation. For 2023, we expect our capital expenditures to be now in the range of $280 million to $300 million due to additional accelerated investments we will be making to increase production capacity for our proprietary pharma dispensing devices to meet rapidly growing customer demand. In the first quarter of 2023, we had capital expenditures of approximately $78 million. The majority of these expenditures were in our Pharma segment, including our expansions in the U.S., France, and China. We returned approximately $45 million to shareholders in the quarter through dividends and share repurchases. Before I turn the call over to Bob to share further details on Q1, I want to speak about innovation and highlight recent technologies and product launches, as shown on slide six. Turning to our Pharma business, in addition to the ramp-up of Narcan and the use of our elastomeric components on GLP-1 injectable medications that I mentioned previously, I would like to highlight that our proprietary nasal spray device is the delivery solution for a new migraine treatment that has received FDA approval in the U.S. Johnson & Johnson's Spravato, featuring our proprietary bidose device, has also been approved in China for treatment-resistant depression. Our proprietary nasal spray pumps are featured on a growing number of allergy medications, with notable new launches in Latin America and Europe. Our proprietary ophthalmic squeeze dispenser is contributing to our growth in several launches in Europe, including Ocutears Hydro+ by Santen and in Brazil, Viofta by EMS. In the Beauty segment, in Europe, our pumps for prestige fragrance contributed to Beauty's growth in the quarter, and our solutions are featured on perfume launches for brands like Gucci, Guerlain, Boss, Tommy Hilfiger, and more. Our dispensing pump is the solution for the Revlon Illuminance foundation in North America, and Star Drop, which provides precise dispensing, is being used for a new skincare product in China. Finally, our mono-material fully recyclable pump continues to be featured on new products, including Avene's new dermaceutical skin care product, Xeracalm, in Europe. Turning to our Closures business, our custom inverted closure with a self-sealing flow control valve is the dispensing solution for the launch of another inverted dish soap brand by a leading CPG company. In the North America personal care market, we are providing disc top closures for two Unilever brands. Now, I would like to turn the call over to Bob. Bob?
Bob Kuhn: Thank you, Stephan, and good morning, everyone. Starting on slide seven, I would like to summarize the quarter. Our reported sales increased 2%. When we neutralize for currencies and acquisitions, our core sales grew 4% primarily due to strong demand for our Pharma and Beauty solutions. As shown on slide eight, we reported first quarter adjusted earnings per share of $0.95. This represents a 2% increase over the prior-year adjusted EPS. We achieved adjusted EBITDA of $154 million, which was a decrease of 2% from the prior year's first quarter. We delivered strong core sales growth despite a difficult comparison to the prior-year quarter due to substantial sales of active film used for at-home COVID-19 test kits which did not repeat. Lower adjusted EBITDA was also negatively impacted due to startup costs for our capacity expansion and an enterprise resource planning system implementation in our injectables division. Turning to some other details by segment for the quarter, our Pharma segment's core sales increased 7%. Approximately, 4% of the continued growth came from increased volumes, especially for our proprietary dispensing devices, and our prescription and consumer healthcare divisions where sales were up across the board. Looking at sales in the pharma segment by market, prescription core sales increased 37%, primarily due to strengthened demand for allergic rhinitis, asthma, and depression therapies, and emergency medicine device. Consumer healthcare core sales increased 24% on strong demand for cough and cold, eye care, nasal decongestions, and saline rinses. Core sales for our asthma solutions for the injectables market decreased 34% primarily due to the ERP system migration, leaving our injectables division with a shipping bottleneck and fewer shipping days for the quarter. The impact of the ERP system implementation is transitory as demand for biologic applications remain strong. Turning to our active material science solutions, core sales decreased 32%. As a reminder, this was against a difficult comparison to the prior year quarter of Activ-Film sales that did not repeat. Pharma's adjusted EBITDA margin was 31%, which included startup for the injectables division capacity expansion and ERP system implementation of approximately $12 million. In the second quarter, we expect a $4 million to $6 million impact as factory operations normalize post ERP implementation and the startup cost from the capacity expansion. We expect these costs to moderate to about $2 million to $3 million per quarter for the remainder of the year. Our Beauty segment's core sales increased 9% due to a mix of pricing and volume growth. We saw volume growth in our prestige and mass fragrance, sun care and color cosmetic solutions. Regionally, Europe and Latin America had solid growth. In North America, we are seeing green shoots of demand recovery for our personal care multi-component dispensing solutions from our small to midsized customers who had built up less inventory. In China, sales have been negatively affected due to its reopening and the resurgence of COVID-19 infections. However, throughout the quarter we started to see signs that the Chinese consumer is coming back. Looking at the Beauty segment by market, Beauty core sales increased 17% driven by higher sales in both prestige and mass fragrance and color cosmetic solutions. Personal care core sales were flat with decreased demand in several end-use categories. However, sun care dispensing solutions continued to increase. Homecare core sales decreased 16% due to lower sales in the air care and surface disinfectant categories. This segment's adjusted EBITDA margin for the quarter was 11%. The Closure segment's core sales decreased 8% compared with the prior year's quarter primarily due to the pass-through of lower resin prices as well as lower volumes in Personal care and Homecare as customers continued to work through their inventory levels primarily in North America and Latin America. Food dispensing was the first to show gradual signs of recovery at the end of last year. And the order book continued to improve through the first quarter. Looking at the Closure segment by market, food core sales decreased 7% primarily due to lower tooling sales and lower demand for sauces and condiments while food service products continued to increase. Beverage core sales increase 4% driven by higher sales in juices and slight increases for bottled water and sports drinks. Europe drove the sales increase. And it is our largest beverage market. Personal care core sales decreased 19% primarily due to decreased sales in the hair care and body care categories. In our fourth category which includes Beauty, Homecare, and Healthcare, core sales decreased 9% and demand for laundry care solutions while dish care sales increased. The segment adjusted EBITDA margin was 15%. In Q1 2023, cash flow from operations was $98 million, up from the $92 million in Q1 2022 due to improvements in working capital management. For our three large capital projects, our injectables capacity expansion project, our state-of-the-art beauty site in France, and our new site in China that will service all three of our segments, we spent about $19 million in the quarter. As we have mentioned, two of our three large capital projects will come online in the first-half of 2023. Reported depreciation and amortization expense was roughly flat quarter-over-quarter at approximately $59 million or 7% of sales. Moving to slide nine, which summarizes our outlook for the second quarter, we anticipate a strong momentum to continue and expect second quarter adjusted earnings per share excluding any restructuring expenses, acquisition cost, and changes in the unrealized fair value of equity investments to be in the range of $1.11 to $1.19 per share. The estimated tax rate range for the second quarter is 26% to 28%. In the second quarter, we will have about a $0.04 to $0.06 impact in startup cost from our injectables expansion program and ERP implementation. We expect these costs to taper off to about $0.02 to $0.03 per quarter for the remainder of the year. Additionally, we are expecting some currency tailwinds compared to the prior year. For example, the euro rate for the prior year of second quarter was 1.06 and our guidance for the coming second quarter is assuming 1.08 euro rate. We have said that roughly for every 1 point move in the euro rate that equates to roughly $0.02 per share for the full-year. So, for the coming quarter, we are looking at approximately $0.01 currency benefit on earnings compared to the prior year. We currently estimate depreciation and amortization for 2023 to be between $230 million to $240 million. As Stephan mentioned, we expect our capital expenditures in 2023 net of any government grants to be between $280 million to $300 million including the capacity expansion investment for our proprietary pharma dispensing devices. In closing, we continue to have a strong balance sheet with a leverage ratio of 1.8 which allows us to continue to invest in the business, pursue strategic opportunities, and continue to return value to shareholders in the form of dividends and repurchases. In addition to our cash dividend payment to shareholders, which totaled $25 million in the quarter, we repurchased approximately 171,000 shares for approximately $20 million. At this time, Stephan will provide a few closing comments before we move to Q&A.
Stephan Tanda: Thanks, Bob. In closing, as we emerged from the challenging operating environment of the last few years, looking ahead for 2023, Aptar is energized for the future and well positioned to create continued, long-term value for all our stakeholders. Our recent realignment of our Beauty and Closure segments presents opportunities to break into new markets and is already helping us capture new corners of existing markets with our differentiated technologies and strong intellectual property. The distinctive advantage of our proprietary product is especially true for our Phrama business, which operates in highly regulated market. Our pipeline for proprietary pharma technologies remains strong as we continue to support the conversion of drugs to our nasal delivery devices such as epinephrine and medicines for migraines. Additionally, this year we will see several key investments come online furthering our effort to streamline operation and increase capital efficiencies by leveraging common assets. Our drive to leverage our fixed cost base and reduce our SG&A as a percentage of sales remains a key focus in 2023 and beyond. We look forward to sharing on our progress in the coming quarters. Before I open the call up for questions, I now want to touch on the announcement we made earlier today. Our Director, Candace Matthews has been elected by her peers to be the next Independent Chair of Aptar's Board of Directors, succeeding George Fotiades who has served as our Independent Chair for the last 5 years. We are very fortunate to have benefited from George's CEO experience, financial expertise, his wisdom, his unflappable demeanor, and his extensive understanding of Aptar's business. All of which has contributed greatly to our overall success and the creation of shareholder value. I am happy to note that we will continue to benefit from George's counsel as he will remain on our Board. Since joining the Board two years ago, Candace has become an invaluable contributor to our Board with deep experience across each of our end-use markets. Candace held leadership roles at Amway, Novartis, Bausch & Lomb, L'Oréal, and Coca-Cola amongst others. I very much look forward to working even closer with Candace in her new role as Independent Chair and leveraging her deep global operating experience, her extensive knowledge of our markets, her sound judgment, and inclusive leadership. With that, I would like to open up the call for your questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Ghansham Panjabi from Baird. Please go ahead. Your line is now open.
Matthew Krueger: Hi, good morning, everyone. This is Matt Krueger filling in for Ghansham. Thanks a lot for taking the time to answer our questions. I guess I just wanted to start off on the CapEx front. So, CapEx has been elevated since 2021. Just wanted to see what's the timeline that we can expect this investment to really translate into tangible operating income, and what's the expected return threshold on the elevated spending that we've seen over this time horizon?
Stephan Tanda: Good morning, Matt. So, as you know, we have three major projects coming online successively. And, roughly, you could say about one year after they come online you will start to see things drop into the bottom line, but they are not all the same. I think you will see the leading best-in-class custom beauty site in Oyonnax, start to contribute already in the second quarter, and then progressively the China plant will come online in the second-half and start contributing towards the end of the year, and then, of course, injectables next year. Now as you know, we've taken down capital expenditure this year from prior year.  But given the extremely brisk demand in our proprietary dispending devices and the very strong order book, we thought it prudent to accelerate some of the capacity increases now. Usually, our returns on new capacity are well above 20%, now those probably will be higher than that given the economics of our proprietary devices.
Bob Kuhn: Yes, and maybe I can just mention a little bit on the capital return. So, while we don't disclose return specifically project-by-project, I think we've said in the past that for the French custom beauty, we're essentially consolidating five different business units or workshops, rather, into one facility, obviously in a much more efficient manner. Custom beauty for us is a strategic investment, and it's difficult to pin exactly what that return is going to be on that other than the cost savings involved, but it leads to new projects, it leads to additional dispensing solutions, et cetera. China is similar in that there's multiple different factories that we're operating under today, and now we're putting it all under one roof. A large part of that facility is really to supply the growth that we see in the horizon for the Pharma business there. And then, obviously, the big one that Stephan was referring to on the injectables, you can expect injectable-like margins on that business.
Matthew Krueger: Got it, that's really helpful. That's great context. And then just as a follow-up, can you talk about any impact that you've seen or you expect to see from Narcan or similar products entering the OTC retail channel? Would you expect any one or two quarters to see significant impact from a stocking period? And then just given that this is a product line that you've highlighted very frequently in the past, could you maybe talk about any potential financial benefit to Aptar more specifically or any sort of general market opportunity, that would be really helpful. Thanks.
Stephan Tanda: Yes, as I mentioned earlier in my remarks, clearly we do anticipate that both in quarter 1 and quarter 2, some of the sales for Narcan contribute to filling the pipeline for going over-the-counter. And that then growth will normalize. In general, Narcan is a lumpy business because of many nontraditional distribution channels. So, it is a contributor to growth, but keep in mind all emergency medicines, including Narcan but also others, make up maybe about 15% of our prescription unit's business. So, while it is growing nicely and it might be lumpy, and there is some inventory build, in the context of the overall Pharma business it is still relatively small.
Matthew Krueger: Got it, that's great. That's it for me, thank you very much.
Operator: Thank you. The next question today comes from the line of George Staphos from Bank of America. Please go ahead. Your line is now open.
George Staphos: Good morning. Hope you're all doing well, Stephan, Mary, and Bob, thanks for the detail. Two questions, one on operations and then the second on injectables more from a market or development standpoint to the extent you can comment. So, on operations, Stephan or Bob, can you just relay why the ERP system takes through the end of the year to fully implement? What are the steps for the mile markers? We're analysts, we're just seeing from outside, to the extent that you can relay what do you have to do from a management standpoint to implement this, and along the timeline that you have? Relatedly, you talked a bit about how you're trying to maximize efficiency, both in terms of margin and also capital. Can you talk a bit, recognizing it's difficult [live mic] (ph), in terms of what that might mean for footprint? And then the second question, just could you remind us again on the expansion that you're seeing in injectables with some of your newer elastomeric products are allowing you to do in terms of new product development and the end markets that you're getting into. You mentioned a couple earlier in the call, if you can provide a couple details there? Thank you, guys.
Stephan Tanda: Sure. Let's tag team on ERP, Bob, and then I'll come back on capital. So, just to put this in context, let me say this, Aptar is one of the few companies who has a single instance with a global SAP integrated system. And most of the time when we do an SAP project, it's an upgrade from a previous version to a new version at the site and, frankly, usually it's not a big deal. In this case, we are taking basically a business that's been built on the manual processes in a pharma environment, from that to the fully integrated system. And you plan everything out, but you never plan for everything. So, this is really getting -- making this huge leap and bringing this business in the 21st century from an ERP point of view. Now, to your question, so basically, in quarter 1, we had a number of days the plant being down for that project implementation, and then the systems starting up and all the processes being ironed out. So, that led to significantly fewer invoice days with that fewer sales. So, we are now very much on the other end of the ERP implementation. Just to give you one highlight, our invoiced revenue in April is about 25% higher than it was in March. So, we're getting back to a normal, steady state. But we have this lost revenue from the first quarter, and we will not recover that lost revenue until we are through the year because we have to keep supplying the ongoing business, our customers obviously pick up the stuff up the moment it's ready to go. So, that's really what the catch-up is all about. Yes, there will still be some inefficiency in quarter 2, that Bob gave you a range for that. But as far as the ERP implementation is concerned, most of that is behind us. Maybe Bob, you add, then we'll come back to the capital?
Bob Kuhn: Yes, no, I mean I think you summarized it well, Stephan. I mean, obviously, the injectables business is different from our normal legacy Pharma business, so there were more processes, more stages in the production. And as Stephan said, being that it's pharma we had an abundance of caution to make sure that everything was operating the way it should be. So, there's no concerns there going forward, it's just that it was a little bit more than what we had anticipated going into the quarter, but the trend is in the right direction, as Stephan pointed out in terms of April. So, the remainder of the year is more tied to the $0.02 to $0.03 in Q3 and Q4, is more tied to capacity increase in the new technology than it is at all with the ERP.
Stephan Tanda: Yes. Then on your question on footprint and expansion, let's bifurcate this. Clearly, we continue to examine our footprint, especially also in Beauty and Closures, to see for additional optimization opportunities, as I mentioned earlier. And once we are ready to discuss these we will. This is, of course, also often subject to labor negotiations, those are ongoing. And once we have white smoke we will inform you. Now, in terms of the expansion, on the expansion and the kind of product, yes, we highlighted that the GLP-1 because that's a very good example of the kind of biologics that benefit from our premium products. You know this is a rapidly growing category, and multiple elastomeric components go into each auto-injector, and multiple CMOs are involved to supply the three drugs that are on the market and, of course, multiple drugs are in clinical trials and approval processes for additional indications, whether it's obesity or non-alcoholic steatohepatitis or non-alcoholic fatty liver disease. So, we see this as a very strong growth platform, and it's also going to do a lot of good for people. That's just one example. Clearly, some of the vaccine business is much weaker, especially since China did not rollout a booster. But on the other hand, we also see some of the smaller molecules continue to grow. So, overall, we feel well-positioned to take advantage of the projects that we have in the pipeline and the projects that are in front us. And yes, building the capacity to take advantage of that.
George Staphos: Thank you for all the thoughts. Good luck in the quarter, guys.
Stephan Tanda: Thanks, George.
Operator: Thank you. The next question today comes from the line of Angel Castillo from Morgan Stanley. Please go ahead. Your line is now open.
Stefan Diaz: Hello, good morning. This is actually Stefan Diaz sitting in for Angel. Thanks for taking my question. I was just wondering if you could provide some details on what you're seeing across the supply chain. I know you called out maybe some destocking still to work through, specifically in Closures in the North America?
Stephan Tanda: Sure. So, it is indeed more of a Closures topic. And, as you know, we supply into the food side of things, into beverages, and into personal care and home care. We see the food side and the condiment side starting to normalize. Beverages is also very strong, that's more in Europe, to be honest, than in the U.S. And then personal care and home care is still in a destocking mode, and we expect it to normalize in the second-half. I said it previously, but it still boggles the mind how much the North America supply chains have been impacted by multiple whiplashes up and down. So, this is still an inexact science, and I mean to quote one customer who should know all this, they can't reconcile it. But that's what we see.
Stefan Diaz: Great, thanks for the color. And then would you be able to provide a year-over-year EPS bridge? I know you called out FX to be a slight tailwind, and maybe the tax rate will be another tailwind. Is the rest of that just coming from volume and price, or what are you expecting?
Bob Kuhn: Are you referring to the outlook or are you referring to the Q1?
Stefan Diaz: I'm just referring to the outlook. For example, last year, you guys did $0.98, and now you're guiding to $1.11 to $1.19. What are some of the puts and takes there?
Bob Kuhn: Sure. So, I mean the easiest way to do this, Stefan, would be start with the first quarter $0.95 for this year. And in Q1, we typically have some higher stock comp expense due to [subs] (ph) investing, that was about $0.05 more in Q1 that'll be in Q2. We talked about the ERP $0.12 $12 million negative moving to $4 million to $6 million. So, if you take the $0.95, you add those two, you're getting closer to the range. And as we've said, that the order book looks good in both prescription and consumer healthcare as well as it does in Beauty. So, we feel that that's an achievable range for Q2.
Stephan Tanda: From an FX, if I tread into dangerous waters here, we still had a headwind in quarter 1. Quarter 2 might be neutral, maybe a little tailwind. And, of course, if we stay at this FX it will flip to a tailwind in the second-half.
Stefan Diaz: Great, thanks for the color, guys.
Operator: Thank you. The next question today comes from the line of Daniel Rizzo from Jefferies. Please go ahead. Your line is now open.
Daniel Rizzo: Good morning. Thank you for taking my question. If we think about Pharma margins, going forward past this year, I know there's some costs with injectable startups, but I was just wondering if the margin squeeze we've been seeing is something that's going to occur over the next couple years or if there is an inflection point where, with the new products you're launching, you would see things or margins, I should say, rebounding within the segment?
Stephan Tanda: Yes, I mean, in general, this is of course all mix-dependent. Remember, our proprietary devices across Rx and CHC are the most profitable. And then comes active materials and injectables. So, if, like we have right now, the proprietary devices grow rapidly that has a positive effect, of course, in quarter 1 that's been eaten up by the ERP in injectables. And so, it is all mix-dependent. The last piece of the puzzle is, of course, digital health, which this year should be a drag of about $0.08 to $0.10 on an EPS basis for the year. And as that starts to improve and become contributing, we certainly stand by our EBITDA range.
Daniel Rizzo: Okay, thank you. And then you mentioned the Narcan, that filling the pipeline is kind of providing a short-term boost. Can you provide that means in terms of sales, at least for the first and second quarter?
Stephan Tanda: Well, we don't break -- yes, we don't give you that much information. But as I said before, and I think Bob said, Rx was growing 30%-plus, and clearly Narcan is part of that, but overall, [indiscernible] medicines, which Narcan is a big part of it, but not everything is about 15% of Rx.
Daniel Rizzo: Okay, thank you very much.
Operator: Thank you. The next question today comes from the line of Kyle White from Deutsche Bank. Please go ahead. Your line is now open.
Kyle White: Hey, good morning. Thanks for taking the question. On the segment realignment, now that you have completed this action, just curious, any kind of early learnings or opportunities that you see whether on the commercial side or on the cost savings side? And then how should we think about, you have, previously, the long-term targets for your segment. So, how should we think about the core sales growth or maybe the EBITDA margin target for the new segment, Beauty and Closures?
Stephan Tanda: Yes, maybe I start with that. We don't expect the aggregate long-term target ranges to change for the company. We may fine-tune the Beauty and Closures target ranges when we have our Capital Markets Day, in September. We do want to go through a full cycle of five-year planning before we do that. On the first part of your question, reaction has been really positive, both externally and internally. Customers feel like they're getting more attention on the closures now that it's part of that organization, maybe a bit keener on getting new business. As I mentioned earlier, we have some thoughts on footprint optimization already. You may have seen a very small deal we made in the Middle East that will free up some capacity in Europe. So, it's just the optimization over that, the four corners of Closure, is looking to be promising, both top line and bottom line. And the Beauty business is also benefiting, as we expected, from further focusing on what they need to get done.
Kyle White: Got it. And then some peers called out headwinds related to resin on the Beauty side. Did you guys see any headwinds in the quarter as it relates to your lag in the pass-through of resin? And are you anticipating anything in the second quarter? And maybe just broadly, what's your outlook for resin going forward?
Bob Kuhn: Sure. So, I can take that. So, to start with, the resin is impacting now more the Closures business, right? In the past, we had a portion, obviously, of Closures inside of Beauty and Home. Now, within Beauty, it is one of the raw materials, but it not significant enough that there are pass-throughs or does not have a material impact on some of the more complex multi-component systems. But as we speak to resin, yes, probably about 6% of our 8% decline in core sales enclosures was due to the pass through of the lower resin prices. Now, we typically have much shorter pass through terms in our legacy food and beverage business than we did on our beauty and home closures business. So, we're looking to try to bring those more in line and shorten that cycle. But net-net, for us it hit the top line, didn't have a significant impact on the gross EBITDA dollars, but it did have, as we would anticipate a margin expansion effect on EBITDA percentages of sales. And going forward, we are expecting still resin to decline year-on-year. And last year obviously, was at much higher rates. So, we're anticipating lower rates for the remainder of the year until maybe we get to Q4 than we lapse some of the lower Q4 resin rates.
Kyle White: Got it. Thank you. I'll turn it over.
Operator: Thank you. [Operator Instructions] The next question today comes from the line of Gabe Hajde from Wells Fargo Securities. Please go ahead. Your line is now open.
Gabe Hajde: Good morning, Stephan, Bob, Mary. I guess I wanted to revisit the CapEx question. I guess the incremental $20 million, given that it's associated with sort of legacy products, I'm assuming that's more equipment and things that are going within the existing footprint, that would maybe yield a little bit of a quicker return. Maybe that's not a fair characterization.
Stephan Tanda: No, I think that's a fair characterization, Gabe. I mean, when you look at these types of investments, they are capacity related. They are related to our proprietary dispensing systems. These capacity increases don't happen overnight, right. So, we're looking at the pipeline of what we have. We're looking at our capacity constraints that we have on Horizon. We triangulate with five-year plan, et cetera, et cetera, and we feel it's the right time to increase capacity on some of those product lines, so they won't contribute until a year or later from now. But if we don't, we would find ourselves in potentially capacity constrained situation down the road.
Bob Kuhn: But you're absolutely right. They go into existing facilities, no construction of new plants or anything like that.
Gabe Hajde: Okay. And then maybe I'll rattle off all the risks or reasons why I'm not a good analyst. So, with the resegmentation and sort of seasonality not being what we're accustomed to over the past three years, and then kind of this ERP implementation, if we were to sort of look at even just bridging into the second-half you talked about, I'll call it the easy one ERP implementation kind of going to $0.02 to $0.03, sounds like there's really no resin headwind in the second quarter. Is there anything else that we should think about from a seasonality standpoint or projects ramping up, things like that, that would sort of cause you to deviate from historical trends in the back half?
Stephan Tanda: No, I would say typically Q2 and Q3 historically have been a little bit stronger than Q1 and Q4, but there's always some exceptions to it. I think what we're seeing is the momentum and the strength in Q1, continuing on the Q2, but as it relates to maybe some of the closures business. Clearly, beverage is a big driver in the closures business for Q2 and Q3. But I don't think that's having a material effect on what we see going forward. The effect is really coming from the pharma business and the continuing strength of the beauty business right now.
Gabe Hajde: Okay, thank you.
Operator: Thank you. The next question today comes from the line of Matt Larew from William Blair. Please go ahead, Matt. Your line is now open.
Matt Larew: Yes, hi. Good morning. On the GLP-1 opportunity, you referenced participation in three of the products. Could you maybe share how you're participating? Is it the same with each of the products that will be on the market and just sort of what that sort of per unit opportunity looks like relative to a typical elastomer opportunity?
Stephan Tanda: Okay. So, I think you asked about GLP-1, but you were kind of cutting out, is that correct?
Matt Larew: That is, yes. I just wanted to understand how you're participating in each of the three products, if it's the same?
Stephan Tanda: Yes, for competitive reasons, we're not going to disclose that. But just when you look at these auto injectors, the principles are all the same. They have an injection mechanism with a plunger. They have a cap with a needle shield. They have some plastic parts and multiple CMOS supply each of the two major players, Nova Nordisk and Eli Lilly. So, there are multiple opportunities to participate, and we participate in each of those three blockbusters and anticipate also participating in the ones that will be launched in the future. So, overall, this is a very interesting area and a good margin opportunity for us.
Matt Larew: Okay. And as we think about just the ramp and maybe potential future approvals or additional indications, should we think about the opportunity ramping essentially in line with end market script growth, or are you anticipating any sort of lumpiness as these prior states going?
Stephan Tanda: No, I think that's a good assumption. We certainly wouldn't provide anything else.
Matt Larew: All right, thank you.
Operator: Thank you. There are no additional questions waiting, so I'd like to pass the conference back over to Mr. Tanda for any closing remarks.
Stephan Tanda: Great. I appreciate everybody's questions of interest. I would like to just take a moment to zoom out. If we look at quarter one, we clearly have very brisk demand in our proprietary dispensing devices across RX and CHC and that's reflective of a very strong order book. I mean, both the continuous expansion of allergies, the need for emergency medications, the discovery of the nose as an integral part of personal grooming routine is really the driver behind that, and we are very bullish about continued growth for those two categories. The decline we had in injectables and active materials, of course were both transitory topics that will abate for quarter two and beyond. We had good growth in beauty in Europe and Latin America, some trepidation in the U.S. and China, with China improving. And of course we had the additional cost for substantive vesting. So, as we look at Q2, proprietary devices in pharma will continue to pull very strongly, injectables and active material normalize on a year-over-year basis. Beauty will keep pulling from what we see from the order book, more normal in North America, and we expect that China will start pulling again. Closures are starting to normalize, the corporate cost headwinds going away or more normal, and of course, foreign exchange may be awash for quarter two. And then as we look out over the second-half, some of the investments will come online and contribute. We are focused on executing our growth plans. Some of the cost actions will start to contribute and if exchange rate stays where they are, that will flip to a tailwind. So, overall, we feel very energized for 2023. Thank you, and looking forward to talk to you on the road.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.